Operator: Good day, ladies and gentlemen. Welcome to B2Gold’s Third Quarter and Year-to-Date 2019 Financial Results Conference Call. I'd now like to turn the call over to Mr. Clive Johnson, President and CEO. You may begin, Mr. Johnson.
Clive Johnson: Thanks, operator. Welcome everyone to our call today to discuss the Q3 financial results for 2019 and the year-to-date. We had a very strong quarter and a very strong year-to-date and this was driven by our excellent operating performance from the three mines Fekola, Masbate and Otjikoto. We're going to talk on them -- hand over to Mike in a minute to talk about some of the detail and the quarter results and we also have our whole team here on the phone to answer any questions and to give you a full update.  We also in the quarter -- some of the highlights for me I guess in the quarter was -- in addition to the great performance was we completed the transaction with Calibre and it was seen for approximately $120 million of cash and shares and we will own 30% of Calibre going forward. I think it’s a very good transaction, that's good for some win-win-win. That's good for our employees, our former employees in Nicaragua who are now employed by Calibre. I think they have a very strong team and they have a similar corporate culture to B2Gold, and I think they’re going to be successful and we're happy to be a 30% shareholder of Calibre. For us it wasn't the main driving force behind changing our ownership in the Nicaraguan assets. It was really about the size of mines that we're building these days and it wasn't above politics and there wasn't any other reason. We liked the assets and we actually turned them over in very good shape to Calibre. So it was more about looking at our future and the kind of things we're looking to drive on with. Nicaragua was a huge success for B2Gold as our first producing assets and a great success for Nicaragua people and its government. So a very good legacy but we believe they are in good hands.  Other highlights for the quarter and the year-to-date, we've had -- a significant debt repayment of over $220 million is expected by the end of the year with another $100 million of that being paid back, we expect in the fourth quarter. And that'll bring us down to the total debt by the year end of about US$260 million, mostly being our revolving credit facility and then some equipment loans as well. So that's a very low debt level and it’s one of the lowest debt-to-EBITDA ratios in the gold space today. Probably because of that and our really good profitable performance, we’ve actually announced yesterday that we're paying our first dividend and that’s a very important milestone for the company and I believe for its shareholders. The goal along when we created B2Gold 11 years ago, what we aspired to was to become a successful low cost responsible gold producer that could generate cash flow for two reasons. One is to continue to grow the company by building additional great projects and finding more gold. But the other was ultimately to see if we could do that but at the same time pay a dividend back to our shareholders. And that's where we are with the start of this dividend and obviously it's something we'll look to grow over time. And so it's a good start, I think it puts us in the middle of pack in terms of gold producer dividends. Once again, we're a growth company so we want to make sure we maintain enough cash flow and access to cheap debt to be able to continue to do what we do. That’s building -- finding gold and building very good gold mines and running them extremely well.  So looking forward, the way forward is quite clear for us. We're expanding Fekola, that's going on extremely well and we're seeing a great performance at Fekola in 2019 as before. So that's on track to achieve approximately 600,000 ounces gold production next year. And that is Q2, as we detailed in the news release that due in 2020, it’s really driven by the fact that we have a larger mining fleet and we're able to utilize a higher grade during 2020, stockpile some low grade and then the actual increase in throughput at the mill expansion will kick in the third quarter of next year. So some people wondered as to why the expansion is finished in the third quarter next year, why is next year such a robust year? That's because of this ability to utilize the larger fleet for the first nine months of the year and then the expansion kicks in as well. So, we're still comfortable with our next five years averaging around 550,000 ounces a year from Fekola. In addition to that, we'll continue explore in the Fekola area. Fekola continues to be open to north. We’ve had a successful campaign of infill drilling, infill drilling 19% of the resource at Fekola that was in the inferred category. So, we will have results of that by the end of the year on the resource at Fekola but also remains open to the north. We keep hitting it as we step up even further north. So, there is more work to be done to see how big Fekola gets ultimately. And of course the Anaconda area 20 kilometers north of Fekola has yielded some very exciting results recently. We have a large saprolite, a pretty good saprolite resource over 5 kilometers by 1 kilometers there, that's approximately 1 million ounces so far and heading to -- heading larger as gets bigger. But more importantly, perhaps, significantly we're starting to hit what we hope to see below saprolite and that is some really good Fekola tech grades in the sulfides below. So, we're quite excited and I know Tom and his team are quite excited about that. It’s really been a terrific success and we are going to do a lot of drilling there to see if we have another Fekola type deposit. In addition to that, we're going to look to Gramalote has become an important part of world again. As everyone knows, AngloGold Ashanti has been the operator for several years. We have reached the agreement with AG during the quarter whereby we would be the manager of joint venture and we're looking to drive that project forward very quickly. Some people will remember we were actually diluting on our interest a couple of years ago, we didn’t like the loops of Gramalote and we had other priorities frankly. Some recent new geological modeling for Gramalote has suddenly really changed the potential economics of the project to make it potentially quite robust. The main risk now at Gramalote as we see it is infill drilling. There is a significant portion of the resource that is in the inferred category and drilling has now commenced or will commence any day to turn -- to hopefully turn all of that inferred into indicated. It’s quite a homogeneous ore body. So we're not expecting too many surprises with infill drilling but obviously it’s one of the things you need to do.  Other than that, we have got a tremendous amount of good work done by Anglo over the years, metallurgy engineering work to be done. There’s a lot left to be done once we infill drill it to move to a final feasibility study by the end of next year. So we have a budget between the two companies of approximately $40 million to achieve that. Gramalote has certainly become potentially a good project for us when we look to build our next mine. We’ve got some work to do on the infill drilling but we like the looks of it, frankly, a $1,300 gold. If the infill drilling pans out on the rest of the detail in the feasibility is what we hope it to be. So, a lots of news coming out of Gramalote over the next year. So clearly the focus on our strategy going forward is what has been for a long time. That is to grow this company from existing assets; Gramalote being a primary ore; obviously, the expansion of Fekola; and also exploration of Fekola and elsewhere. So we continue to grow developing our existing assets and by exploration worldwide looking to do joint ventures or on our own, finding -- looking for large low-cost deposits, some of them in joint venture with long struggling suffering junior exploration companies. So, we are on the lookout for opportunities where we can spend money on the ground to earn a majority interest. So, that's sort of an overview from me I guess. I am going to pass over to Mike. I would just ask our analyst friends on the line, this is probably not a forum to get as detailed questions about rock types or strip ratios or mining costs per tonne. If you want to ask those detailed questions, we definitely advise you to send an email to Ian and he will forward it to whoever is right one to answer those detailed questions.  So with that, I’m going to pass it over to Mike to give you an overview of the financial results. 
Mike Cinnamond: Okay. Thanks, Clive. Great quarter, so happy to present results. Just before I do, just to remind everyone what the basis of presentation in these financials is consistent with the second quarter. Nicaraguan results in the financial statements are presented in the income statement as a one line item, income lost from discontinued operations and the balance sheet just as one line item in the asset section and the payables section. But when I discuss the results I am going to discuss it as presented and them I am also going to mention what it was if you included Nicaragua as well.  So firstly, starting with the revenue line at $311 million for the year -- or for the quarter. And the revenue increase was mainly driven by a 23% increase in realized gold price but offset by a 10% decrease in ounces sold. Overall if you include Nicaragua, there was $382 million versus the prior year quarter of $324 million. And basically all operations were at or both -- in fact they're both budget in terms of production and in terms of sales.  Then turning to production, production from continuing ops was 213,000 ounces, so that’s Fekola, Masbate and Otjikoto. And if you include the production from Nicaragua of 45,000, the total production for the quarter was 258,000 ounces which compares very well with budget of 242,000 ounces. That’s a quarterly record for Q3 and we already had a quarterly record production for Q2. So the good news continues.  Breaking that down and talking a little bit about the individual components of it. Fekola was a 112,000 ounces for the quarter against a budget of 108,000, so 4,000 ounces ahead. I mean it’s really the same story that we talked about in the first two quarters of the year. Fekola continues to demonstrate the higher sustained processing without reduced recovery and its benefiting from a trend of more oxide, softer material and finer than budgeted size coming from the primary crusher. And because we were able to put more material through the mill, we’ve actually been drawing down some of the low grade stockpiles. So what you’ve seen is the grade has dropped a little bit, but there is an increase in the production because there is a lot of more volume going through the mill.  Masbate was 52,000 ounces against a budget of 49,000, so these 3,000 ounces ahead and again same story as the first two quarters. We continue to have higher than planned grade or tonnage coming from main vein including some ore tonnes that we’re taking from backfill areas that we hadn’t originally budgeted or built into the models which show higher grade.  So, just comment on Masbate, we have noted in the press release today Montana -- bringing Montana into the existing MPSA that our mining license and permit continues to move along well. And we’re not predicting that it will likely happen late Q2 or early 2020. But overall for Masbate because of the outperformance to-date and our ability to keep mining for main vein, we think Masbate is going to come in at high end of our guidance range of 200,000 to 210,000 ounces.  Otjikoto for the quarter was 49,000 against a budget of 47,000 so it was just slightly ahead and once again same story as earlier in the year. Otjikoto is continuing to benefit from higher than expected ore grade or tonnage from Phase 2 of the Wolfshag Pit.  I’m going to talk about cash cost now and I’m going to talk about those on the basis of ounces produced. In the MD&A we’ve presented it on the basis of ounces sold as well as ounces produced. But in this case I’m going to talk about it based on ounces produced. So, on a consolidated basis, the cash cost were $507 an ounce against a budget of $543, so a favorable cost saving variance of $36 an ounce.  If you break it that down, the total from the continuing operations was $443 an ounce against a budget of $490. And once you add in Nicaragua, then that $443 bumps up to $507 an ounce. So you can see that going forward we're going to see an improvement in the overall cash cost per ounce because the remaining operations are -- have better cash cost profile than those in Nicaragua, which we now disclose that.  I just want to touch on the individual components of those cash cost of Fekola, $383 an ounce against a budget of $394, so slightly below. But as I mentioned earlier Fekola really is moving along so which has slightly lower grade because we're producing from some of the material from low grade stockpiles. But overall we've managed to maintain the same cost profile, but more ounces. So that's certainly added to profitability. Masbate, $622 an ounce against the budget of $673. And Masbate's seen cost savings kind of across the board. There are a number of areas where those savings have been noted and they include like drilling and blasting costs, including taking materials from the backfill locations that are lower than we thought because we need less drilling and blasting. Loading and hauling costs have been lower and there are fewer total tonnes of waste moved than budgeted because we've been focused on main vein. So all of those have benefited Masbate's cost profile overall.  Perhaps the most significant cost reduction in the period though is Otjikoto. The actual costs there were $394 an ounce against a budget of $519, so a saving of a $125 an ounce. And again there were a number of factors in fact that contributed to those lower costs profile but lower than budged fuel and reagent costs, higher than budgeted gold production and also a weaker Namibian dollar. Namibian dollar was -- contributed probably $2 million to the -- in the year-to-date in terms of FX to the profitability of Otjikoto.  So overall, Nicaragua -- where the total for the Nicaraguan operations were $810 an ounce against a budget of $832. Nicaragua kind of was on budget. We had better than -- we had fairly good production I think from both the undergrounds at El Limon and Libertad benefited from higher than budgeted ore production at all of it mining areas, including Jabali underground.  Finally, a comment on the all-in sustaining costs for the quarter, the total on a consolidated basis, $807 an ounce against a budget of $804, so almost right on budget. If you break that down, the total from continuing operations was $755 against a budget of $765. And then Nicaraguan all-in sustaining costs were just over a $1,000, which is pretty much on budget.  So one thing to comment there, there is a fairly significant consolidated cost saving on the cash cost, $36 an ounce, but we don't see that repeated in the all-in. All-ins are pretty much on budget. And the main reason for that is, is the higher gold price, you’ve got royalties flowing through that all-in sustaining costs calculation. We had higher gold sales and revenue as we mentioned earlier. And with those higher revenues came higher royalties and those flow through the all-in sustaining costs number. But all-in-all, pretty much right on budget. There is some CapEx in there that was deferred in earlier periods that flow through this quarter. For this forecast year, we've probably got somewhere between $7 million and $10 million of total CapEx, mainly related to deferred stripping and several of the operations that we don't expect will flow through into the fourth quarter. So you may see those as absolute savings for the year against budget.  Just going to comment a couple of other items in the income statement, one’s on the interest line. We see $7 million there for the current quarter, very similar to prior quarter and we did repay $100 million year-to-date on our revolver. And as Clive mentioned we expect to pay another $100 million in Q4. What that will mean when you look at that -- because we have paid some debt that you might expect to see a greater drop than that but it was really just to do with the timing. We paid $75 million of it in Q3, off later in the quarter. So, you will start to see interest savings as we go forward now. Also a comment on the tax side. On the current income taxes, just some of you frequently have questions on that, $34 million for the quarter. Majority of that is Fekola, $28 million, $22 million of it is income tax and $6 million of it is the priority dividend which we also account for as a tax.  One thing for your models, we had disclosed that we were going to pay -- we expected cash tax payments for the year to be $120 million for the year. We bumped that by $10 million in this quarter and that's due to Otjikoto, the higher gold prices and the higher net income generated in Namibia because of those higher gold prices, has now meant that Otjikoto is now more taxable than we thought it would be. So we have added on guide that there is another $10 million that we think you should put in your models for Q4 for total tax payments mainly related to Otjikoto. A couple of comments overall now -- on the overall results as we look forward to -- and for the quarter. So firstly, for the quarter the attributable income was $66 million -- sorry $55 million attributable, $66 million overall. Basic EPS including discontinued operations was $0.05 a share. Adjusted EPS after adjusted net income attributable of $89 million was $0.09 a share. And then, cash flow from operations was $168 million or $0.16 a share. In terms of overall guidance, for the year and looking forward, we did change the mix of overall production guidance range but we didn't change the consolidated range overall. And I think that's significant too because with the disposal of Nicaragua in the middle of October we don't have the benefit of a 100% of that production going forward, but we still think we’ll come in somewhere around the mid range for consolidated guidance. What we did change was Fekola. We moved it -- we originally had a guidance range of 420,000 to 430,000 ounces. We bumped that up to 445,000 to 455,000 just based on the outperformance of Fekola year-to-date and you will see from in the results already reported that June was the strong first half that we had there. That production from Fekola is no longer weighted half one versus half two, it’s pretty consistent on the way through.  Masbate, we’re still guiding to 200,000 to 210,000 ounces. But like I mentioned, we expect that to come in at the high end of that guidance range as it is. Otjikoto, still guiding at 165,000 to 175,000 ounces. That -- Otjikoto was weighted to the first -- to the second half in the budget and remains so. In half one we reported 70,000 and we think we’ll be somewhere in the middle of the 165,000 to 175,000 ounce range for the whole year. Where we’ve guided down was on Limon and Libertad and that's because we're guiding that on the basis that we're only going pick up our share of their production going forward that we would report is only 30% So, taking into account the production that we did have up to October 13th where we own those operations and the sort of 30% share that attributes to us going forward. We now think Limon’s guidance range is between 50,000 and 55,000 ounces and Libertad’s between 75,000 and 80,000 ounces.  But when you put those all together, the total consolidated range is 935,000 to 975,000. And like I said, we think we’re going to come in somewhere in that mid range.  On the cash cost guidance range, Fekola for the year we still expect to be in the range. For Masbate and Otjikoto, we expect to be at or below the low end of the range. Same story for those operations on the all-in sustaining cost side. When you look at the consolidated range that we gave, so cash costs for $520 to $560. We think we’re going to come in at or below the low end as you’ll have seen the positive results year-to-date for those. And then on the all-in sustaining cost guidance range of $835 to $875, we think we’ll come in there somewhere in the range.  A couple of general comments on the operations, and again a couple of comments for your models. So, Fekola, the expansion started in 2019 and well underway we expect it to be completed certainly by the end of Q3 2020. Detailed engineering, we expect to be done early to mid November. And now we did guide for the plant expansion costs itself, we expect to be $50 million of total $25 million both between this year and next year. We still expect that split is accurate. On the fleet upgrade of $86 million, the larger fleet. We originally thought that we’d probably have about $25 million of that in the current year 2019. We now think because of accelerated purchasing and what we’re doing there, get things moving, the $86 million split will now be split $36 million for the balance of 2019 and $50 million in 2020. And also in the solar plant, again well underway, there we plan to get that built. The total costs as we disclosed before is $38 million. Previously we thought we’d incur $20 million of that in this year and $18 million next year. And now we think we’ll incur $17 million in 2019 and the balance of $21 million in 2020. So again just for you to update your models. Clive mentioned Gramalote and where we’re going there. And for the purpose again of your models and what you’ve built in there, we’ve agreed with AGA that we will have a remaining budget of approximately $6 million for the fourth quarter of 2019 and then up to $40 million for 2020 to get us hopefully to that feasibility stage -- study stage by the end of 2020. Because we’ve agreed to fund the first $13.9 million of that: First; A, to earn our way back to 50-50 joint venture interest; and B, to become manager. Our split of that $6 million plus $40 million, so a total of $46 million, will be $6 million for the balance of 2019 and approximately $24 million for 2020, just if you want to put that in your models. Just finally a couple of comments on the cash flow statement. As I mentioned cash from operating activities, $168 million for the quarter, including cash flows from Nicaragua. Year-to-date it’s just under $350 million, operating cash flows, assuming $1,500 per ounce gold price for the -- for Q4 and we’ve seen that pretty much all the way through so far. We think we’re tracking right on that $500 million of operating cash flow that we previously disclosed for the year.  On the financing side, we have paid back in total $100 million on the revolver, $75 million of it so far in this quarter. And in Q4, because of the weighting of some of that production we talked about Otjikoto and the strong cash flowing from all the operations, we think we will be able to repay another $100 million in Q4. And as Clive mentioned, the total debt reduction, including paid down some of the capital, leases and equipment loans, it’s estimated to drop from $480 million at the start of the year to $260 million at year end. And the way things are going especially with Fekola expansion coming online and certainly the larger fleet, start seeing the impact of that and mining earlier in the year and then the expansion coming fully online at the mill. Later in the year with strong cash flows there. We think if we want to be we could certainly be debt free on the revolver side by probably Q3, just after the second half of next year -- just after the first half of next year, sorry. On the investing side, we spent $205 million year-to-date, $73 million in the quarter. And like I mentioned, there is some -- there maybe some timing difference in the CapEx year-to-date. But in terms of both CapEx, it’s likely that it was budgeted but it's not likely to be incurred, it’s probably somewhere in the region of $5 million to $10 million for the full year. Maybe we will give an update on that when we’ll report Q4. Also we'll see cash inflows in the fourth quarter of $53 million in total for the first part of our payment related to the sale of Nicaragua. So there's a $40 million cash payment as part of the consideration and then there is also the first part of the working capital, cash adjustment of $13 million, so a total of $53 million that we will see flow-in in Q4 in cash related to the Nicaraguan disposal.  We finished the quarter with $146 million in cash, now that excluded $18 million of the Nicaraguan cash, just because of the way we have to report it. But in reality, early in the fourth quarter we pulled up the majority of that cash back up into B2. So -- because that was cash that was generated under our ownership. And I guess final point to note on the cash flow side, what we'll see I think -- and you’ll see it probably in early mid December, in Q4 will be the payment of the dividend of approximately US$10 million reflecting our first quarterly dividend of $0.01 per share. So I think those are the main items that I wanted to highlight in terms of the results and the cash flows year-to-date and how we see the year panning out. 
Clive Johnson : Okay. Thanks, Mike. I think we'll open up to questions now. 
Operator: [Operator Instructions]. Your first question comes from the line of Geordie Mark with Haywood Securities. Your line is open. 
Geordie Mark: Nice work on the quarter. I could see dividend coming out. That's great. And perhaps just in line with what you were saying, Clive, leaving the new shift for later and maybe as a segue from here, your comments on focusing on assets of scale. Just looking at Gramalote, what sort of makes sense there for yourselves and your partners in terms of relative scale of production on a gold production basis and asset life for that asset? Do you think you’re able to make any comments on that to give an idea of what you're thinking or…?
Clive Johnson: What we're doing now, we're working on an updated PEA, which we would hope to have done by early next year. But I think the most recent economic runs that have been done, I’ve been looking at something starting out at Gramalote ridge and we are talking about somewhere -- starting out of somewhere around 400,000 ounces a year. And if the infill drilling pans out and the other economic stays similar to what they did in the past in terms of mining costs and all those things, we’ll just see a lot of work done there and has a substantial to be pretty low cost producer with pretty robust economics, $1,500 gold. So the mine life -- what are we talking about guys? What are we -- do we -- mine life, I think we were talking about internally some of the most recent numbers around -- but I think Geordie, a lot of the details going to -- coming in and assessable, we feel that's something that we would like to share with our -- publicly to indicate why we like it so much more than we liked it a couple of years ago. The big driving force has been the new geologic modeling that's been done, that has showed a significantly better project and low strip ratio, great logistics, great metallurgy. Those are some of the keys to a low-grade ore body, and we've got all of those. So we're going to -- we'll be getting with the second drill now and so the key driver force will be the infill drilling. But so far, we like the looks of it a lot, but there's more work to be done, but not that much, actually, it's mainly infill drilling.
Geordie Mark: Okay. Maybe I'll just -- one point, moving across to Fekola. Just there was obviously some language on the solar plant there. Just thinking about, obviously, full year payback there? Is there a particular cost benefit on the scale of that production, on the scale of that capacity at 30 megawatts? And on that basis, given the collective capacity of, I guess, fuel plus solar, if Anaconda was to make hay, ultimately, would you draw from the same plant or would you do something separate? I'll leave it there. Thanks.
Clive Johnson: Well, yes. I mean, Dennis, I think Dennis is on the line, he can talk a bit more to the solar, but I think the concept would be if Anaconda becomes something that becomes mineable, which we're seeing the -- just the saprolite zone continues to expand, so we're kind of keen on that as being -- if that was sustainable. But definitely, you'd be looking to perhaps shift hard to some extent, you'd be looking at perhaps expanding the solar plant, those types of things are our options. I'll let Dennis answer the other question about the solar. Dennis are you on?
Dennis Stansbury: Yes, Clive. The solar plant is going to provide about when the expansion is up and we're running at that higher rate, provides about 18% of the power, it drops the process operating costs by a little over 7%. And it does provide additional -- it lets us do maintenance during the day on the units, things like that. So we can draw more power from the plant simply because of the maintenance schedule. We don't need the plus-2 scenario that we have in the power plant. We can almost go to a plus-1 scenario because of the daytime maintenance that the solar plant creates. And the solar plant is being built to where it could actually be expanded without too much trouble also. Hope that helps.
Operator: Lawson Winder with Bank of America. Your line is open.
Lawson Winder: I think I'd like to also just echo those comments that I commend you on introducing the dividend and particularly at a competitive yield. And then Clive I definitely agree with your comments that -- I think this is a milestone for B2Gold.  So with that said, a question on Gramalote. So Clive, I mean, you mentioned that, obviously, one of the big sort of challenges or next big steps here is getting the infill drilling done. That makes a lot of sense. But just looking beyond that, assuming the geological model checks out, the infill drilling confirms everything you'd hoped, what do you see as the biggest challenge to getting Gramalote built?
Clive Johnson: Well, permitting is always one of the challenges of our business would be -- we do have an environmental effect. This has been already accepted with the government. So there's various steps to go along the way to continue to -- the permitting process. But we're now in infill drill, which is definitely one of the best places to be in Colombia. In terms of pro mining, there's both -- if you were to fly over Colombia in a helicopter and you knew nothing about mining and someone asks you to pick the best spot in the country to build the first large open-pit gold mine, you'd pick Gramalote. It's generally low in hills. It's not an altitude. It's not steep terrain. There's not a lot of local crops and vegetation. Anglo has done an excellent job working with the local people and working with the -- just some miners and the local population. So we're very popular there and we think that’s a lot of credit to AGA. And taking over as operator, we're going to inherit a lot of the people, the AGA people, that have been working so hard, they're on permitting and all the other social issues, they're going to stay where they are, they're going to be managed by B2Gold, but and also AGA will have a strong presence as part of the management committee. So I think we think we're in really good shape there. And frankly, because of -- and AGA's a big company, and they probably -- they do things methodically, and they spend a little more money than we would sometimes and do a little more work than we would sometimes on things like metallurgy and engineering, et cetera. It's a little risk reward thing. So we benefit from that after many years. And the fact that there was a lot of good work done by AGA in terms of the metallurgy in terms of engineering. So there's not a lot of risk that we see in terms of those things. In terms of the ore body itself, and Tom can speak to it if he like it, but it's a very homogeneous, low-grade ore body. So we're really hopeful that the infill drilling is going to bring no negative surprises. We will have the results of that starting in July, I guess in May, Tom? 
Tom Garagan : May.
Clive Johnson : Of next year. So yes, we see it as a very advanced project, and much more advanced than you would normally expect to be when a significant portion of that is actually infer. So the good news is it's advanced -- in permitting it's advanced,, and social issues is well advanced and all the other things that make up our feasibility study, a detailed -- engineering and stuff. But there'll be some more detailed engineering and some more work to be done on looking at the plant and stuff. But we're cautiously optimistic that this can potentially be a significant low-cost producer. And that's one of the reasons why our focus is organic growth, as I've said it many times in these calls, I'll say it again, you're not going to see any significant M&A from us because why would we buy anything, when you've got the kind of assets we have, Gramalote, the potential for additional ounces at Fekola, et cetera, et cetera. So we're going to see the course of that and Gramalote potentially becomes an important part. Another note on that, I guess, one of our -- I think one of our reasons for our success will be to the strength of our executive team and our technical and all the people that work for us, a tremendous amount of experience. And Dale Craig who is a Vice President at B2Gold has offered to go down and -- asked to go out and be the country manager in Colombia for B2Gold. And I think that's a great move for Dale and for us. I'm a bit jealous actually, but -- a nice place to work. But at the end of the day, Dale who came to us when we originally acquired the Nicaraguan asset. So he was country manager in Nicaragua, then he was promoted to come to Vancouver, and he wanted to go to the Colombia and have this experience. So that's what I think is one of the keys to our success, is the bench strength, the ability to have this incredible team of people around the world that can slot into different projects and different opportunities as they come up. And of course, if we get to the point of building Gramalote, it will be our in-house construction team who has done such a fantastic job and is currently doing the expansion of Fekola. So yes, we're cautiously optimistic that Gramalote has got a really good shot to be a low-cost open-pit goldmine.
Lawson Winder : I look forward to further updates on Gramalote. Thanks for those comments, Clive. And then, Mike, maybe just a question for you on -- or perhaps someone else, but I think this one's going towards Mike on Montana, the extension pit. You highlighted that the permits or the approvals rather could be delayed into 2020. I'm just curious how many approvals are needed and what are they? And then finally, I mean, if there's any more slippage there, is there any risk to the guidance you guys have provided preliminarily for 2020 there with 200,000 to 210,000 ounces?
Mike Cinnamond: Well, I think to answer the first part of your comment or your question, the -- I think we're right at the -- we've got one more final approval to go and then we'll have rolled -- we think we're ready to go -- other than that, we think we're ready to go on Montana. So that's why we think it will either happen a bit later now in Q4 or early 2020. In terms of the guidance, as you likely said, we're going to hit guidance at the upper end. In terms of sensitivity to next year, yes, Montana's not in there, there might be a slight slippage, but it won't be very significant, certainly not in the scheme of B2 production overall. And we're also going to look at that as part of budgeting, just to the -- what we would do if it didn't come in right at the start of 2020. But right now, that's when we expect it.
Dennis Stansbury: As Mike said, it would have a minimal impact if it doesn't come in at all. But I think it's important to point out that we're not looking for a new permit, it's a consolidation of the Montana permit that we already have. There's a lot of pressures in the Philippines for this having been done before. So we're not doing anything that's outside -- that's outside the norm and we've gone through a partner and a bureaucratic process, as we see in many countries, we're at the final, final stages of -- we don't anticipate -- we anticipate getting that -- the final approvals very shortly here.
Lawson Winder: And then, Mike, just -- actually, one quick follow-up on your comments around Namibia. Certainly, the costs in Namibia this year have been remarkable to say the least. You highlighted several factors that have contributed to that. And I'm just assuming no change in FX from here, are there any sort of pressures that could work the other way going into 2020 or would you consider some of these cost savings sustainable? I mean, assuming no change to the FX?
Mike Cinnamond: Well, we've budgeted -- and let me put it in context, we've budgeted when we sort of reforecast for ourselves, what we thought the costs looked like at the end of the year, we've assumed that the Namibia costs will be on budget. So we did have some cost savings through the year. Some of that is related to where we're mining and the ore we're mining. The FX rate, we'll probably budget somewhere around 14.5 and 15 for Namibia and foreign exchange rate for 2020. And so I guess, you can factor that into whatever you've got in your model, but I don't think we're planning that we have sustained cost savings that we've seen there this year. For next year, the budget will be pretty consistent with how we budgeted this year.
Lawson Winder : And then are you seeing any -- where I'm going with this, just on the labor side, with the depreciation and the currency. Are you seeing any pressure on labor costs there?
Mike Cinnamond: Labor costs, we have a union agreement, collective bargain agreement there, they take off a little bit each year, just reflecting something a little over, I guess inflation rates are standard growth. We don't see any particular pressure on the labor costs next year. Again, it will be based on what your FX rate is, I assume, like I said, we'll probably budget somewhere between 14.5 and 15.
Clive Johnson: Fortunately, a lot of mines in Namibia have shut down over the last number of years, various types of mines. So these are pretty good jobs, and these are well paid -- well paying jobs, and we've got tremendous support from the government and recently had a successful negotiation with the unions again. So they're -- these are jobs that are very much, I think, in demand.
Operator: [Operator Instructions]. Chris Thompson with PI Financial.
Chris Thompson: A lot of my questions have already been answered. But just moving to Otjikoto quickly. Nice to see the high grade from Wolfshag hitting the mill. When are we going to get a better idea of a life of mine plan for the mine here?
Clive Johnson: Who wants to take that, Bill Lytle just left here, he's heading to the Philippines. Mike, do you want to take that on?
Mike Cinnamond: Well, I think there'll be -- for Wolfshag, the -- what we've always been considering is when -- how big we think the open pit will be versus the underground. So we're still looking at that. It's probably a waiting or sort of -- I thought that maybe going underground earlier might be the most profitable option. But that will be reflected in the mine plan and the new reserves and resources that are done by the end of the year or for the AIF in Q1 next year. So in terms of understanding how that fits into a mine plan. I think that's when it's going to be available.
Chris Thompson: And then just quickly, finally, I just want to make sure my facts are right. A new resource for Fekola before the end of the year. Is that right?
Clive Johnson: Yes, that's right.
Operator: Michael Fairbairn with Canaccord Genuity. Your line is open.
Michael Fairbairn: And again, congrats on the great quarter. I've just got a couple of questions on Fekola, if I could. Starting with just the stockpile that you have there? I know you guys continued to process some of the lower-grade stockpile that you have available, are you able to give any -- us any kind of a sense of how large that stockpile is? And what kind of grade we're looking at there?
Clive Johnson: Dennis, you on?
Dennis Stansbury: Yes, I'm on. Yes. Right now, we're -- we've got a low-grade stockpile of about 3.5 million tonnes, and that will continue to grow. Grade of that is running just over a gram, 1.1 gram a tonne.
Michael Fairbairn: And if I remember correctly, in your mine plan, you should start to get into -- start mining some of that high-grade core deposit. If that starts to come out in Q4, would that be stockpiled as well until 2020? Or would that start to go through the mill starting in Q4?
Dennis Stansbury: Yes. So we will have some stockpiles of high-grade at the end of the year, what we estimate. So some of it will go through the mill in Q4, but a lot of it will be stockpiled as well and be processed in the first quarter.
Michael Fairbairn: And one more, if I could. Just on the shareholder loans that you guys have with the government of Mali. Are you able to give us any type of updates on where those sit? Or when you're expecting this to be fully repaid?
Clive Johnson: Yes, we can give a sort of indicator. Again, it's based on the gold prices, right, and production levels. They haven't repaid them yet. They're not repayable, no ordinary dividends are declarable until our construction loans are repaid. And once those are repaid, then the ordinary dividends that attribute to the 10% shareholding that the government in Mali has, will be applied against repaying the loans of dividend. And as the guide, it varies. It depends on the gold price and as the mine plan changes. But I think broadly speaking, we're talking about 2022, 2023.
Operator: There are no further questions at this time. I would now like to turn the call back over to the presenters for closing remarks.
Clive Johnson: Okay. Well, thanks, everyone, for taking the time to dial in on the call, and thanks for your very good questions. Any further details on any topic, feel free to reach out to Ian and he'll put you in touch with the person most able to answer your questions. So thanks again, and we look forward to talking to you soon.
Operator: This concludes B2Gold's Third Quarter and Year-To-Date 2019 Financial Results Conference Call. We thank you for your participation. You may now disconnect.